Operator: Good day, everyone, and welcome to this morning's Belden Incorporated Third Quarter 2016 Earnings Release. Just as a reminder, this call is being recorded. At this time, you're on a listen-only mode. Later, we will conduct a question-and-answer session. I would like to now turn the conference over to your host, Mr. Tim Lenze. Please go ahead, sir.
Tim Lenze - Belden, Inc.: Thank you, Augusta. Good morning, everyone, and thank you for joining us today for Belden's Third Quarter 2016 Earnings Conference Call. My name is Tim Lenze. I'm part of Belden's Investor Relations team. With me this morning are John Stroup, President and CEO; and Henk Derksen, Belden's CFO. John will provide a strategic overview of our business, and then Henk will provide a detailed review of our financial and operating results, followed by Q&A. We issued our earnings release earlier this morning, and we've prepared a slide presentation that we'll reference on this call. The press release, presentation, and transcript of these prepared remarks are currently available online at investor.belden.com. Before we begin, I'd like to remind our audience that Belden will hold its 2016 Investor and Analyst Day event in Boston on Monday, December 5 at 2 PM Eastern Time. At this event, we'll provide additional insight on our performance and strategy as well as 2017 guidance. Please register on our website if you'd like to join in person. The event will be webcasted live for those of you who are unable to attend and can be accessed via the Belden IR website. Turning to slide 2 in the presentation, during this call, management will make certain forward-looking statements. I'd like to remind you that any forward-looking information we provide is given in reliance upon the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. The comments we will make today are management's best judgment based on information currently available. Actual results could differ materially from any forward-looking statements that we make, and the company disclaims any obligation to update this information to reflect future developments after this call. For a more complete discussion of factors that could have an impact on the company's actual results, please review today's press release and our Annual Report on Form 10-K. Additionally, during today's call, management will reference adjusted or non-GAAP financial information. In accordance with Regulation G, we have provided a reconciliation of the most closely associated GAAP financial information to the non-GAAP financial information we communicate. This reconciliation is in the appendix of the presentation and has been posted separately to the Investor Relations section of our website. I will now turn the call over to our President and CEO, John Stroup. John?
John S. Stroup - Belden, Inc.: Thank you, Tim, and good morning, everyone. As a reminder, I'll be referring to adjusted results today. Please turn to slide 3 in our presentation for a review of our third quarter highlights. We are pleased with our third quarter results including organic revenue growth, margin expansion, and double-digit earnings growth. Our team continues to execute well, and our Lean enterprise system is clearly driving sustainable productivity improvements and strong free cash flow. I'd like to thank our associates for their commitment to aggressively executing our strategic plan. We are also pleased with the timely execution of our mandatory preferred stock issuance in the quarter. This instrument accelerated our debt leverage reduction and provides an opportunity to capitalize on our robust M&A funnel. On an organic basis, we grew revenues by 2.6% to $602.5 million. We benefited from a number of attractive secular trends and captured share in the majority of our businesses. In addition to continued success in our enterprise and broadcast platforms, both of our industrial platforms experienced a return to organic growth as we had expected. EBITDA margins expanded 200 basis points from the prior-year period to 18.5% and are within the range of our long-term goal of 18% to 20%. The significant margin expansion is primarily a result of productivity from our Lean enterprise system, exceeding our previously communicated commitments. The margin expansion was broad based with all platforms contributing. As a result of the solid revenue growth and margin expansion, EPS grew 13% to $1.29 compared to last year's $1.14. Excluding the impact of the newly issued mandatory preferred equity, earnings grew 27%. So far this year, we have generated an additional $58 million in free cash flow compared to the prior year, which is a testament to the quality of earnings and the efficient use of working capital and fixed assets. The strong free cash flow generation combined with the impact of our mandatory preferred equity issuance has resulted in a reduction of our net debt-to-EBITDA ratio to 2.2 times from 4.0 times in the year-ago period. Please turn to slide 4 for a review of our business segment results. Broadcast revenues in the quarter were $196.2 million as compared to $186.7 million in the year-ago period. On an organic basis, revenues increased 4.5%. Notably, Grass Valley's third quarter revenues included $3 million from shipments of IP systems. I'm pleased to announce that Grass Valley now has its first fully implemented open standard IP system with a prominent live production customer, CBS Sports. We look forward to the continued implementation of IP technology with other Broadcast customers. EBITDA margins for the platform were 18.6%, increasing 390 basis points from the prior-year period due to leverage on growth as well as the productivity initiatives implemented in the prior year. This improvement is quite an achievement. I would like to thank the Broadcast team for their hard work in implementing sustainable productivity improvements for this business, which position us well for profitable growth in the future. Our Enterprise platform revenues were $156.7 million. On an organic basis, revenues increased 4.5% year-over-year. The platform continues to capture share, a result of solid execution of our market delivery system. The increasing number of connections in new, non-residential construction, and smart buildings drives demand for our extended local area network applications. Our innovative products deliver data in addition to Power over Ethernet, meeting the higher performance requirements. Accordingly, we are pleased that revenues for our Category 6A cable products were up 23% year-over-year. EBITDA margins at 17.4% were up 80 basis points from the prior year, primarily due to leverage on growth. As expected, the Industrial Connectivity platform returned to growth. Revenues for the quarter were $149.8 million, up 80 basis points organically from the year-ago period. Discrete manufacturing end markets, which represent approximately 60% of our Industrial Connectivity business, were up 2% year-over-year, partly fueled by favorable currency rates, driving demand from German machine builders. EBITDA margins were 15.8% for the third quarter, in line with the prior year and down sequentially. Consistent with our plan this quarter, the platform faced temporary headwinds associated with our previously announced manufacturing footprint actions. We expect these headwinds to subside by the end of the year. Industrial IT generated revenues of $60.2 million, an increase of 170 basis points organically from the third quarter of 2015. The platform benefited from robust end market growth in both transportation and discrete manufacturing, offsetting continued weakness in oil and gas. EBITDA margins expanded by 350 basis points from the year-ago period to 21.2% as we realized the benefits of productivity initiatives announced last year. And finally, our Network Security platform generated revenues of $39.6 million. Despite impressive year-to-date bookings growth of 22% within the industrial end market, now our largest vertical, total revenues for the quarter were down 4.7% from the prior year. We are obviously disappointed with these results. Market growth rates in U.S. commercial markets decelerated as customers have addressed initial waves of security compliance standards. Additionally, we failed to identify sufficient opportunities to meet our goals. We are addressing the speed at which we fill key sales and marketing positions. We've made the necessary leadership changes, and we believe these headwinds will subside in the next two to three quarters. We remain confident in the advanced solutions we continue to develop to address the sophisticated threats our customers face every day. Despite these challenges, EBITDA increased by 4.5%. I will now ask Henk to provide additional insight into our third quarter financial performance. Henk?
Hendrikus Derksen - Belden, Inc.: Thank you, John. I will start my comments with results for the quarter, followed by a review of our segment results, discussion of the balance sheet, and close with our cash flow performance. As a reminder, I will be referencing adjusted results today. Please turn to slide 5 for a detailed consolidated review. Revenues in the quarter were $602.5 million, an increase of 2.1% from $590.1 million in the third quarter 2015. Lower copper prices and currency translation had an unfavorable impact of $5 million. A small bolt-on acquisition announced in the first quarter increased revenues by $1.8 million. After adjusting for these factors, revenues increased 2.6% organically from the prior-year period. Sequentially, revenues increased $900,000 from $603.4 million. Gross profit margins for the quarter were 41.6%, increasing 80 basis points from the prior-year period, result of productivity initiatives. Sequentially, gross profit margin declined 20 basis points, within the normal range of variation. Operating expenses of $150.8 million for the quarter decreased $4.5 million from the prior year and $5.5 million sequentially. The improvements are primarily the result of productivity initiatives. EBITDA in the quarter was $111.5 million, an increase of $14 million or 14.4% from the prior-year period. Sequentially, EBITDA increased $3.4 million or 3.1% from $108.1 million. EBITDA margins were 18.5%, an increase of 200 basis points from 16.5% in the prior year and an increase of 60 basis points from 17.9% in the second quarter. For the full year, we expect EBITDA margins to be within our long-term goal of 18% to 20%. Net interest expense of $23.5 million for the quarter decreased $1.9 million from the prior year and $0.5 million sequentially. The year-over-year decrease was driven by a reduction of outstanding debt. We expect interest expense to be approximately $23.5 million for the fourth quarter and $95.5 million for the full year. The effective tax rate for the third quarter was 19.9% compared to 18.9% in the prior year and 9.5% in the prior quarter. For financial modeling purposes, we recommend using a 20% effective tax rate for the fourth quarter, resulting in a 17.4% rate for the full year 2016. Net income in the quarter was $61.4 million, increasing 25.6% from $48.9 million in the prior-year period. Sequentially, net income declined $4.1 million, primarily due to the tax rate favorability in the second quarter. Earnings per share was $1.29 in the quarter, an increase of 13.2% from $1.14 in the prior-year period. Earnings per share declined $0.25 from $1.54 in the second quarter. Sequentially, the higher tax rate and the impact of the mandatory preferred equity reduced EPS by $0.19 and $0.16, respectively. For the fourth quarter, we expect the dilutive impact of the mandatory preferred equity to be $0.22. Please turn to slide 6. I will now discuss revenues and operating results by business segment. Our Broadcast Solutions segment generated revenues of $196.2 million during the third quarter. Revenues increased $9.5 million from $186.7 million in the prior-year period. Currency translation had an unfavorable impact of $700,000, while acquisitions contributed $1.8 million. On an organic basis, revenues increased 4.5% year-over-year. Sequentially, revenues increased $2.7 million from $193.5 million. Revenues were slightly lower than typical seasonality due to timing of shipments within our Broadband business. Broadcast EBITDA margins were 18.6% in the quarter, increasing 390 basis points from the prior year and 340 basis points sequentially. Compared to the prior year, our productivity initiatives and leverage on growth contributed to 290 and 110 basis points, respectively, to the margin expansion. Sequentially, in addition to improved productivity, product mix normalized from second quarter levels with an impact of 120 basis points. Our Enterprise Connectivity segment generated revenues of $156.7 million during the quarter. This segment faced a $2.6 million headwind from lower copper prices and currency translation. On an organic basis, revenues increased 4.5% from the prior-year period. Sequentially, Enterprise Connectivity revenues decreased $3.7 million from $160.4 million, in line with typical seasonality. EBITDA margins were 17.4% in the quarter, increasing 80 basis points from the prior-year period. Sequentially, EBITDA margins declined 100 basis points within the typical range of variation. The Industrial Connectivity segment generated revenues of $149.8 million in the quarter, increasing $2.1 million from the prior-year period. Revenues were unfavorably impacted by $1.9 million from lower copper prices and currency translation. This segment returned to organic growth with revenues increasing 80 basis points year-over-year. Sequentially, revenues increased $2 million from $147.8 million. EBITDA margins of 15.8% increased 10 basis points year-over-year and declined 2.5% sequentially. While we met our on-time delivery commitment to customers, our margins were impacted by manufacturing inefficiencies from plant consolidation. We expect these headwinds from our footprint actions to be resolved in the fourth quarter. Industrial IT segment generated revenues of $60.2 million, an increase of $1 million from $59.2 million in the prior period. Revenues increased by 1.7% organically. Sequentially, revenues decreased $2.3 million from $62.5 million. EBITDA margins of 21.2% increased 350 basis points from 17.7% in the prior-year period. The margin expansion is largely a function of productivity initiatives identified in the prior year. On a sequential basis, EBITDA margins expanded 90 basis points from 20.3% in the second quarter. Moving to our Network Security segment, revenues of $39.6 million declined 4.7% on an organic basis from $41.4 million in the prior-year period. Sequentially, revenues increased 1.3% from $39.1 million. Network Security EBITDA margins of 29.5% increased 230 basis points compared to the prior-year period. If you will turn to slide 7, I will begin with our balance sheet highlights. Our cash and cash equivalents balance at the end of the third quarter was $748 million compared to $176 million in the prior quarter and $242 million in the prior year. The increase was largely driven by the mandatory convertible preferred equity instrument issued in the quarter. The capital raise resulted in net proceeds of $501.5 million. Inventory turnover was 7.3 turns, an improvement of 0.2 turns sequentially and 0.6 turns from the prior-year period. Our acquired businesses continue to drive sustainable improvement using our Lean enterprise system. Days sales outstanding was 61 days in the third quarter, down 1 day compared to the prior quarter and an improvement of 2 days year-over-year. PP&E turnover was 7.4 turns, down 0.2 turns sequentially and flat year-over-year. Our total debt principal at the end of the quarter was $1.71 billion, consistent with the prior quarter. Our debt paydown in the first quarter 2016 and fourth quarter 2015 reduced our total debt principal amount by $200 million from the year-ago period. After the third quarter, we announced a private offering of €200 million of senior subordinated debt due in 2026 at the rate of 4.125%. The net proceeds were used to pay off our term loan due in 2020. As a result, we have no significant maturities until 2022 and improved our exposure to euro. For the fourth quarter as well as 2017, we do not expect these capital structure changes to impact earnings per share. Net leverage was 2.2 times net debt-to-EBITDA at the end of the third quarter, an improvement of 1.4 times sequentially and 1.8 times year-over-year. We're extremely pleased with the improvements made to our balance sheet. They provide the opportunity to capitalize upon our robust M&A funnel and accelerate the execution of our strategic plan. Please turn to slide 8 for a few cash flow highlights. Cash flow from operating activities for the quarter was $86.4 million compared to $86.9 million for the prior-year period. On a year-to-date basis, we generated $146.8 million compared to $92 million for the prior year, an improvement of $54.8 million. Net capital expenditures were $10.7 million for the quarter, $1.1 million lower compared to the prior year. Year-to-date net capital expenditures were $35.8 million, a reduction of $3.2 million compared to $39 million in the prior-year period. In the third quarter, we generated $75.7 million of free cash flow, an increase of $600,000 compared to the prior year. Year-to-date, we've generated free cash flow of $111 million, an increase of $58 million from $53 million in the prior year. We are on track to achieve free cash flow of $235 million to $245 million for the full year, an increase of approximately 30% from 2015. That completes my prepared remarks. I would now like to turn this call back to our CEO, John Stroup, for the outlook. John?
John S. Stroup - Belden, Inc.: Thank you, Henk. Please turn to slide 9 for our outlook regarding the fourth quarter and full year 2016 results. Our balanced portfolio and proven business system allow us to perform well under a variety of market situations. When paired with our strong balance sheet and optimism around acquisition-related opportunities, we feel confident Belden is well positioned for success. We anticipate fourth quarter 2016 revenues to between $605 million and $625 million, and EPS is expected to between $1.36 and $1.46. For the full year, we now expect revenues to be between $2.355 billion and $2.375 billion from prior guidance of $2.355 billion to $2.385 billion. The expected range of EPS is now $5.20 to $5.30 from prior guidance of $5.15 to $5.35. We look forward to providing insights into our expectations surrounding 2017 at our Investor Day event on December 5. Details can be found at investor.belden.com. That concludes our prepared remarks. Augusta, please open the call to questions.
Operator: Thank you, sir. Our first question will come from Noelle Dilts with Stifel. Please go ahead.
Noelle Dilts - Stifel, Nicolaus & Co., Inc.: Hi, guys. Good morning.
Hendrikus Derksen - Belden, Inc.: Good morning.
John S. Stroup - Belden, Inc.: Good morning, Noelle.
Noelle Dilts - Stifel, Nicolaus & Co., Inc.: Congratulations on a nice quarter.
John S. Stroup - Belden, Inc.: Thank you.
Noelle Dilts - Stifel, Nicolaus & Co., Inc.: So I think we do have to dig in a little bit more on Network Security. I guess, first, can you help us understand? I mean, you talked about some of the changes you're making in terms of personnel and sales. Can you just give us a feel for any additional actions you're taking, anything on the product side, or if you think that's really in good shape? And then give us a sense of how to think about this longer term? If I go back, I think you were looking at a 17% CAGR over 2014 to 2017. So how do we think about that today?
John S. Stroup - Belden, Inc.: Sure. So, I think there are two things to consider. First is if you look at the end markets, we've seen pretty good activity outside of the United States. So we saw good demand in Europe and in Asia. Although that's a relatively smaller percentage of Tripwire's business today, that was strong. We also have seen very strong activity in Industrial, stronger than we expected. As I mentioned, that's up 22% year to date. So that's great. It's now our largest vertical. And at the time that we acquired Tripwire, we made it clear to everybody we thought that was a significant opportunity. And we've made good on that. The part we're struggling with is what I would consider to be sort of the core of the Tripwire business at the time of the acquisition, which was the U.S. commercial business. So this would include retail, banking, insurance, technology companies, things of that nature. We had a fairly difficult comp in the third quarter on a year-over-year basis. We booked a really nice order a year ago, but of course, we took credit for it a year ago, and we have to replace it with new opportunities this year, and we didn't. And I think that's at least partly due to execution. We've not had the sales and marketing team fully staffed through the year. We've had some challenges with being able to bring people on as quickly as we would like as we've expanded the sales team, and that's an area that we need to continue to focus on. So it's an area that's garnering more of my attention, more of my time, trying to make certain that the team understands the expectations, has the tools to be successful. I think it's going to take us a couple quarters to kind of work through that. I think from an end market point of view, I do think that customers are sort of digesting a lot of the licenses that they acquired last year. And I think that is part of the demand challenges this year. I think that'll subside a little bit next year. And then from a product point of view, I think we're in good shape. We have both VM and SCM products. We've always been particularly strong in SCM. I think we still are. I do think that, like a lot of companies, we're going to continue to have to invest in cloud-based products as well. We already have products that operate in the cloud, and we've had customers successfully migrate their products to the cloud, and we're in good shape there. But we have some work to do on from-the-cloud solutions, and that continues to be an area of emphasis. So I'm not alarmed by where we are with the business. I'm obviously disappointed that we didn't do better in the quarter. But, again, I'm not alarmed by the results.
Noelle Dilts - Stifel, Nicolaus & Co., Inc.: Okay. And then second, looking at the Broadcast platform, I think this is an area where folks are kind of – maybe there's a little bit of debate around how to think about 2017 given you're coming off of the elections and the Olympics. Can you give us some initial thoughts on your expectations as we head into next year?
John S. Stroup - Belden, Inc.: Yeah. So this is an interesting topic and something that we've been spending more time on in preparation for our December investor meeting, and we'll provide more detail there. But let me give you a preview. So, first of all in the quarter, the Grass Valley business grew 6.5%. So they had another strong quarter. By the way, most of that growth came outside the United States. And you remember a year ago, we mentioned that we were struggling with some headwinds from currency and oil prices, and we're clearly seeing that come back as we thought it would. That's good news. In the U.S., it's flat year over year. And in an election year and in a Olympic year, you might expect the U.S. business to be up, and it's not. If you look at the Broadcast business and you separate it into three value streams, distribution, which is predominantly our PPC business, so this is hardware that's being sold through MSOs and telecom providers to bring the content to the home, whether it's over the top, whether it's traditional, that business has been growing very consistently over the last three years, sort of mid-single-digit growth rates to high single-digit growth rates, really no interruption and we expect that to continue. If you look at playout, playout is about 20%, 25% of the Grass Valley business or about 12%, 12.5% of the Broadcast platform, that's the piece of the business you would think would be most vulnerable to the over-the-top phenomenon. It's actually growing also, and that's because customers continue to make investments in linear playout because it represents more than 90% of their production or of their distribution. That's the area that people most often would assume is under pressure. It's not. The part actually that has been under the most pressure which is not intuitive is creation. And creation would be the area that you wouldn't expect to be under attack because creation is an area where people are making investments. And creation is the area where we've seen customers defer capital so that they can invest in their over-the-top platforms, and we believe that that is a deferral. And we believe that will come back. And as a result, we're not expecting that 2017 will be down compared to 2016 as you would have seen in prior cycles. Some of that is the deferral I mentioned. Some of that is also customers trying to make sense of the IP transition, and we believe that they are in fact getting comfortable with an open standard IP product. We feel that we're extraordinarily well positioned there. And as a result, I would expect that our Broadcast business would be up in 2017 compared to 2016.
Noelle Dilts - Stifel, Nicolaus & Co., Inc.: Okay. Perfect. Thanks so much.
John S. Stroup - Belden, Inc.: You're welcome.
Operator: Our next question comes from John Quealy of Canaccord Genuity.
John Salvatore Quealy - Canaccord Genuity, Inc.: Hey. Good morning, folks. Over to Enterprise, if we could for a moment, another healthy organic growth there. Can you talk about geography? I assume U.S. was a big part of the non-res and on the smart building side, but if you can dig in a little bit more please.
John S. Stroup - Belden, Inc.: Yeah. So, U.S. was good. Believe it or not, Canada was good. We keep doing really, really well in Canada. I think most of that is Eastern Canada. Asia was fine. I'd say the only area that was weak was Middle East, and by the way, that's I'd say in most of our businesses right now. Middle East business is weakening. I think that's to be expected as countries in the Middle East come to terms with the fact that they're struggling with low oil prices. I would expect the Middle East region to be weak for a while, but yeah, most of it came from the U.S. and Canada.
John Salvatore Quealy - Canaccord Genuity, Inc.: Okay. Thanks. Let's look back to Network Security for a moment. Just in terms of Q4, are we expecting another good margin seasonal quarter as those perpetual licenses renew or what's the sort of qualitative dynamics we should look for in Q4 there?
John S. Stroup - Belden, Inc.: Yeah, I'm not at all worried about margins in Tripwire. I think margins are very healthy, will continue to be healthy. I think the challenge for Tripwire in Q4 is going to be the challenge they had in Q2 and Q3 which is going to be non-renewal bookings. So, retention rates are good. They're strong. They're healthy. When customers make a commitment to our products, they tend to stay with us. They are happy. Interestingly, there is a lot of demand for professional services, and a lot of that demand is for licenses that had already been purchased where customers are sort of acknowledging that we're having a hard time putting the products in position or putting them in place. So, I would imagine that in the fourth quarter, margins will be good. I would imagine that renewal rates will be good. I would imagine that professional services are going to be good. And I think the area of focus for us and the area of challenge will be non-renewal bookings.
John Salvatore Quealy - Canaccord Genuity, Inc.: Okay. And then remind us on the status. I think it was Broadcast introduced a product that bundled some Network Security capabilities. Again, the landscape seems very positive at least from my perspective with – we had that big denial of service attack with the set-top boxes and things like that. So, it certainly seems there are market opportunities there. Just talk to how that initiative is going.
John S. Stroup - Belden, Inc.: So, the product you're referring to is a Grass Valley playout product called iTX, which is a software-based playout system where we integrated Tripwire technology into that product. iTX sales in general continue to be healthy. I'm not going to be able right now to be able to split out for you how much of that was impacted by Tripwire, but I can report that the product is integrated. I can tell you that customers have responded favorably to it, and I can also tell you the iTX revenue continues to be very healthy.
John Salvatore Quealy - Canaccord Genuity, Inc.: Okay. Great. And I'm sorry, just one last one back to Broadcast. So, CBS Sports now all IP. Can you give us a life cycle how long it took your efforts to complete that portion of it? What was the sort of cadence there? Thanks, guys.
John S. Stroup - Belden, Inc.: You're welcome. So, we started working on our IP products in earnest probably early 2015 and certainly have been engaged with a number of customers including CBS Sports very seriously over the last six months. And we were delighted that CBS had confidence in our solutions, gave us the opportunity to work with them. If I remember correctly, this is both at golf as well as football. And we have a number of other high-profile customers as well that are using our IP products. And in fact, we got the greatest compliment we could ever get from a customer, particularly a Broadcast customer, when they told us that the implementation of our IP products was the most boring rollout they had ever had, which obviously, we appreciated.
Operator: Our next question comes from Ryan Hutchinson of Guggenheim.
Ryan Hutchinson - Guggenheim Securities LLC: Great. Thanks. Good morning, guys. (34:18).
John S. Stroup - Belden, Inc.: Good morning, Ryan.
Ryan Hutchinson - Guggenheim Securities LLC: Good morning. I guess, my question here is on the Broadcast business. I understand and appreciate the drivers and the growth for next year that you're expecting, but at the same time, a lot of your key customers including AT&T, Time Warner, and others are in the midst of a massive consolidation phase. And so, I just wanted to see how you guys thought about that in potentially impacting your business and if you factored anything into your guidance around this dynamic that certainly is going to continue.
John S. Stroup - Belden, Inc.: Yeah. So, AT&T, Time Warner are obviously big customers of ours as is Comcast. And they're big customers of our PPC products. And those are hardware products predominantly connectors that are used outside the home and in the home. And the drivers of those tend to be the need or desire for increased bandwidth or increased usage in the home itself and is not typically CapEx but is usually OpEx. And churn of customers is also a major driver. So, in the past, when there's been consolidation with our customers with either telecom or MSOs, we have on occasion seen some activity with those customers looking to leverage their spend a little bit more with us, which can put a little bit of pressure on our cost actions but at least up to this point, it never affected volume because it's not a CapEx item but rather, it's an expense necessary to deliver the product to their customers. So, if there is any disruption, I would expect it to be more on the margin line than the revenue side. And at least so far, I think the team has been able to mitigate those sorts of activities, and we expect them to do so going forward.
Ryan Hutchinson - Guggenheim Securities LLC: Okay. Great. And then in your prepared remarks, you highlighted a robust M&A funnel a few times and given the recent capital raise. Can you just bring us up to speed on what your latest thoughts are around both areas of focus and potential timing and specifically, if security is still going to be an area of focus following the weaker results that we've seen out of the acquisition, the recent acquisition?
John S. Stroup - Belden, Inc.: Okay.
Ryan Hutchinson - Guggenheim Securities LLC: Thanks. That's it for me.
John S. Stroup - Belden, Inc.: Yeah. So, as we commented three – sure. As we commented three months ago, our funnel is in very good shape. We've I think made a lot of progress over the last three months on a number of opportunities that we consider to be highly attractive. And although we consider and continue to believe the Network Security space is a highly attractive space, we don't have any opportunities in the funnel that are near term for Network Security. So, if we were to do something in the near term, which I hope we can and think there is a good chance we can, it would likely be in the Enterprise space or the Industrial space. Those are the two areas where we see the most activity late cycle in the funnel. And of course, nothing is for sure in life, and we have a lot of work to do between now and when we'd be able to announce something, but that's the area where the funnel is most active today.
Ryan Hutchinson - Guggenheim Securities LLC: Great. Thanks, guys.
John S. Stroup - Belden, Inc.: Thank you, Ryan.
Operator: We'll go next to Steven Fox with Cross Research.
Steven Fox - Cross Research LLC: Yeah. Thanks. Good morning. John, just a follow-up on those last comments. The last couple of acquisitions you've done have been sort of far afield from the core strengths of the company historically. And you've now had sort of some stumbles in those that are kind of surprising relative to just 90 days ago. So, based on what you just said, are you saying that maybe expanding beyond sort of the traditional hardware interconnect is now probably more limited or would you still consider moving up the stack like you've talked about in the past? And then I had a follow-up.
John S. Stroup - Belden, Inc.: Sure. So, the last two acquisitions we've done are Tripwire and M2MFX (38:14), and of course, M2MFX (38:16) is a smaller bolt-on acquisition we did (38:20).
Steven Fox - Cross Research LLC: I'm sorry. I was actually referring to just getting into Broadcast and getting into Network Security in general. Sorry. I misspoke there.
John S. Stroup - Belden, Inc.: Oh. Okay. All right. And then as you know, the Broadcast business is a business that Belden has been in for about seven years and an area that we've got a lot of experience with, but you may be referring to the Grass Valley acquisition that was a bolt-on. It's the Miranda acquisition that we made three years earlier. As it relates to our M&A funnel or M&A activities, I guess my response, Steve, would be the following. There's really no change in strategy. Everything that we pursue in the M&A funnel comes out of our strategic plan, and then we pursue it with what we believe to be very strong financial discipline around ROIC. None of that has changed. And of course, as I'm sure you're pointing out, there have been examples of transactions where we've gotten to that ROIC goal faster than we have other ones, and of course, those are always the ones that are most appealing to all of us. I don't see any of that changing. As I made a comment earlier, the areas that are most advanced in the funnel today are in Enterprise and are in Industrial. And those would be I think examples of product lines that you would consider to be core bolt-ons or near adjacencies. They wouldn't be as ambitious, I would say, as the Tripwire acquisition. I guess the other thing I would point out, Steve, is that – and it's difficult to quantify, but there's no question that our Industrial businesses would not have done as well in this quarter if it had not been for the Tripwire acquisition. In fact, if you look at the results of Wesco and Anixter, our two largest distributors, which I think are a reasonable proxy for how the industrial market is doing, they were both down considerably on a year-over-year basis. And I don't know how we would have grown those businesses, which is absolutely in conflict with all of our competitors in the market in general, had we not made the investment in the Tripwire asset.
Steven Fox - Cross Research LLC: Yeah, appreciate that color. That's very helpful. And then just two follow-up questions. First, on the networking margins that you just – produced the EBITDA margins, do you consider those sustainable? I guess, it's pretty high considering the sales challenges. And then, secondly, can you just talk about why you think you gained share on the Enterprise side? Because based on my numbers, it seems like you did pretty well there. Thanks.
John S. Stroup - Belden, Inc.: Yeah, sure. So I would say the margins at Network Security in this quarter were on the very high end of the acceptable range. And part of it was the fact that we don't have a fully populated sales force at Tripwire. And as I mentioned earlier, that's an area that we're focused on. So it's sort of a consequence of some of the execution challenges that we have there. And so I would expect margins to come down a little bit as revenue growth continues. On the Enterprise side, I'd say it's a continuation of what we've been talking about for more than a year. We've got some really, really strong products, particularly in CAT 6A where revenue is up some 20-some percent. It's absolutely amazing to me that the smart building, the connected building, it has – sort of gravitating towards copper products because of Power over Ethernet. Obviously, Power over Ethernet is not something you can accomplish with fiber products. And our team is doing a good job there. The team properly recognized some of the challenges in data centers and reallocated resources. They properly identified some of the buying behavior changes with respect to contractors having more influence. And they're just executing really well. And so, they're in a great group. And I guess I would remind everybody that it wasn't that long ago that 80% of our earnings call was about how are we going to fix the Enterprise business. And now, they're in great shape. A year ago, it was how are we going to fix the Grass Valley business. They're in great shape. And of course, this call we're talking about some of the challenges we have in Network Security, and I look forward to talking about how that's in great shape a year from now.
Steven Fox - Cross Research LLC: Great. So do we. Thanks.
John S. Stroup - Belden, Inc.: Yeah. Thank you.
Operator: We'll go next to Shawn Harrison with Longbow Research.
Unknown Speaker: Hey, everyone. This is (42:59).
Hendrikus Derksen - Belden, Inc.: Good morning. Frank (43:02), we have difficulty understanding you, Frank (43:04).
Unknown Speaker: I'm sorry. What was that?
Hendrikus Derksen - Belden, Inc.: We have difficulty understanding you. Please speak a little louder.
Unknown Speaker: Can you hear me?
John S. Stroup - Belden, Inc.: That's better.
Unknown Speaker: Okay. Thanks. Sorry about that. Just going back to networking, just a few questions. One, how much of the miss is internal versus external factors? And do you still expect to hit your accretion targets?
John S. Stroup - Belden, Inc.: So it's hard for me to know exactly how much of it is market and how much of it is our execution. If you look at some of the other security companies, they have been talking about flat year-over-year market growth rates. Check Point, for example, came out, had sort of flat growth rates. We were down 4%. So, that might be a good proxy. Maybe if our execution was perfect, we would have seen some growth, but not the kind of growth that we would have thought maybe 90 or 120 days ago. That's not a perfect analysis for you, but I think it's directionally correct. And what was your second question? I'm sorry.
Unknown Speaker: Just if you still expect to hit your accretion target?
John S. Stroup - Belden, Inc.: Yeah. So, we still expect to hit our accretion target for the current year of 2016. That is not in jeopardy. And for 2017, the numbers that the team had submitted to me for next year are still on target for accretion as well. And so, at this point, there is no change in our view or our expectations for accretion from the Tripwire acquisition.
Unknown Speaker: Okay. Thanks. And then just one more quick one. What percent of Tripwire is Industrial now? Because I thought when you bought them, it was closer to zero.
John S. Stroup - Belden, Inc.: So, the Industrial business on a full-year basis for non-renewal bookings, okay, so this is not revenue, this is non-renewal bookings, is about 20%, 25% of their total revenue. I actually don't know what it was at the time of the acquisition. I have to go back and get that for you. But as I mentioned, it's been an area of growth, and it's been an example of two things, really. One is where Tripwire team has been bringing Belden into opportunities. The Belden team has been bringing Tripwire into opportunities. It includes traditional IT assets on the factory floor being protected. It includes industrial back-office examples, and it also includes what I would consider traditional SCADA-based production like our Tofino Firewall and like some of the other products that we have. So, it's been a real success story for the acquisition. And once we get the core legacy business back on track, I think we'll be in very, very good shape.
Unknown Speaker: Great. Thanks, guys.
John S. Stroup - Belden, Inc.: Thank you.
Hendrikus Derksen - Belden, Inc.: Thank you.
Operator: We'll go next to William Stein with SunTrust.
William Stein - SunTrust Robinson Humphrey, Inc.: Great. Thanks for taking my question. And I joined a little late, so I apologize if this is repetitive. Gentlemen, in the middle of quarter, I think there was a pretty clear stance that an acquisition was imminent. I wonder if something fell out of the funnel or if the pacing of deals might have moderated for some reason. Thank you.
John S. Stroup - Belden, Inc.: Yeah, nothing changed from our end.
William Stein - SunTrust Robinson Humphrey, Inc.: Okay. Next is on leadership in Tripwire. I think you've seen two CEO rotations since you acquired the business. I wonder what the status is to stabilize that.
John S. Stroup - Belden, Inc.: Yeah, so the first one was planned. At the time of the acquisition, the sitting CEO was clear with us about his intention to retire. The second one was not planned. And we've inserted a Belden executive in that position, somebody that's been with us for quite some time. And I think that's been very helpful. In fact, I think the team has responded. The team at Tripwire has responded extraordinarily well to the change in leadership. And if anything, with the benefit of hindsight, we should have done it earlier. So, I think we're in good shape. And I think they're embracing the Belden business system, and there's lots of examples of where I see the quality of their decisions improving, so I feel like we're in good shape.
William Stein - SunTrust Robinson Humphrey, Inc.: Thank you. That's very helpful.
John S. Stroup - Belden, Inc.: Yes. You're welcome.
Operator: And that is all the time we have for questions at this time. I'd like to turn it back to our presenters for any additional or closing remarks.
John S. Stroup - Belden, Inc.: Thank you, Augusta, and thank you, everyone, for joining today's call. If you have any questions, please reach out to the IR team here at Belden. Our email address is investor.relations@belden.com. Have a good day, everyone.
Operator: Thank you, ladies and gentlemen. This concludes our call for today. You may now disconnect, and thank you for your participation.